Operator: Good day, ladies and gentlemen, and welcome to today's webcast. At this time, all lines have been placed on a listen-only mode and we will take questions following the presentation. (Operator Instructions). At this time, it is my pleasure to turn the floor over to Brian Harvey. Sir, the floor is yours.
Brian Harvey: Thanks you, Dagmar. Good afternoon. And welcome to LRAD Corporation’s fiscal second quarter 2014 financial results conference call. My name is Brian Harvey, I'm the Director of Investor Relations and Capital Markets for LRAD. On the call with me this afternoon are Tom Brown, our Chairman, President and CEO; and Kathy McDermott, our Chief Financial Officer. Ms. McDermott will recap our fiscal second quarter financial results, which will be followed by a brief presentation from Mr. Brown. After their presentations, we will open up the call to questions. But before I turn the call over to them, I would like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements of the historical facts, statements made during this call that are forward-looking statements are based on our current expectations. During this call, we may discuss the company's plans, expectations, outlook or forecast for future performance. These forward-looking statements are subjects to risks and uncertainties, and actual results could differ materially from the views expressed today. For more information regarding the potential risks and uncertainties, see the Risk Factors section of the company's Form 10-K for the fiscal year ended September 30, 2013. LRAD Corporation disclaims any intent or obligation to update those forward-looking statements except as otherwise specifically stated. I will now turn the call over to Kathy for the fiscal second quarter 2014 financial results recap. Kathy?
Kathy McDermott: Thanks Brian. So, we had a strong fiscal second quarter of 2014 with revenues increasing by 69% to $5.4 million compared to $3.2 for the fiscal second quarter 2013. Year-to-date revenues through March were $9.2 million, a 49% increase over $6.2 million for the same period in the prior year. Revenues from our international market continue to drive the growth with strong sales in the public safety market to foreign police as well as international maritime and navies, energy facility security and some additional mass notification installations. With the exceptional of one $1.3 million order for National Police in South Asia, the other orders were moderate in size and diverse showing a wide spread penetration of our product. Our third fiscal quarter is already off to a good start with the shipment of a $4 million order last week to the Middle-East for border parameter security. Our revenues will continue to fluctuate on a quarter to quarter basis based on the nature of our business and customer base. Gross profit for the quarter ended March 31, 2014 was $2.7 million, or 51% of net revenues compared to $1.4 million or 43% of net revenues for the second quarter of the prior year. Year-to-date gross profit was $4.7 million or 51% of net revenues compared to $2.8 million or 46% of net revenues. The increase was primarily due to the increased volume as well as favorable product mix. Operating expenses for the second fiscal quarter increased 21% from $1.8 million to $2.2 million, primarily due to a bonus accrual of $316,000 based on meeting targeted performance goals, an increase of $201,000 in salaries and consulting fees, primarily related to business development efforts. $91,000 increase in travel to develop our international markets and other increases partially offset by $319,000 reduction in legal and other professional fees incurred in the prior year related to the lawsuit. Year-to-date operating expenses increased 18% to $4 million in the first six months of 2014 compared to $3.4 million in the first six months of the prior year. The increase resulted from $316,000 for bonus accrual, $428,000 for salaries and consulting, $103,000 for travel and other increases offset by a $348,000 reduction in legal and other professional fees. We reported a net income of $526,000 or $0.02 per diluted share in the fiscal second quarter of 2014 compared to a net loss of $459,000 or $0.01 per share in the second quarter of 2013 as a result of the increased revenue and gross margin partially offset by higher operating expenses. Year-to-date net income was $657,000 or $0.02 per diluted share compared to a loss of $560,000 or $0.02 per share in the prior year. Our cash balance increased from $15.8 million at September 30, 2013 to $18.5 million at March 31, 2014 primarily generated from collection of our accounts receivable from our strong fourth quarter revenues of last year partially offset by a reduction in AP from our fourth quarter purchases and an increase in inventory to support our strong sales forecast for the third quarter. Working capital was $24.6 million at March 31, 2014. And with that, I'll turn it back over to Brian.
Brian Harvey: Thank you, Kathy. I’d like to turn the call over to Tom for a brief management presentation.
Tom Brown: Thanks, Brian. And thanks for joining our call. As Kathy indicated year-over-year first half revenue increased by 49% and we generated the first half net income versus prior year first half loss. As I indicated in the past, with the uncertain U.S. budget situation we would emphasize developing our international business and revenues. International sales have accounted for 74% of our first half quarter revenues and we continue to see strong demand in these markets. In our second quarter, we introduced the new product offering, the LRAD Mobile 360. Mobile 360 is a fully integrated self-contained ruggedized trailer that has a telescoping/folding mast to reach a height of 30 feet and contains a single or dual stack 360 for clear communications where it is needed. Our primary markets are Homeland Security, FEMA, Border Patrol, Military Bases and these are first market opportunities that we are pursuing. Disasters such as Hurricane Sandy, the tornadoes in Oklahoma where infrastructure is desolated are examples of where this product can be effectively used to communicate instructions. In addition to the Mobile 360, we have submitted two international proposals for our 360 mass notification systems. We are facing tough competition from established competitors, but we will continue to develop this market and continue to be aggressive as RFPs come up. We are still waiting for [air] award outcomes on these projects. On the other side of our business, we are participating in two large well attended international trade shows. This week we are exhibiting at SOFEX in Amman, Jordan. SOFEX is a major Middle East trade show that showcases Homeland Security and peacekeeping equipment. We are also participating in trial this week with the Indian Navy. As part of their RFP process, the Indian navy is hosting trials for acoustic hailing devices. We will be in competition with the at least two other suppliers, but the Indian Navy has purchased LRADs in the past and these trials should lead the future procurements. In June, we will be exhibiting at EUROSATORY which is built as the largest exhibition of land and air-land, defense and security, major tradeshow that we have participated in last year, and we saw some good results in a way of increased revenue. We will also be presenting at B. Riley and Marcum investment conferences in the month of May. As I indicated, we will see -- we continue to see strong demand from international customers. We’re working opportunities in all territories Asia, Middle East, Africa and South America. On the domestic side, we’re working all branches of military, law enforcement and several government departments as year-end money becomes available. As Kathy indicated, we will have a very strong third quarter and we are working to achieve a very strong fourth quarter and a strong year. So a key take away from this call is a very good first half with the better second half to come. And with that Brian, let’s take some questions.
Brian Harvey: Okay Tom. We like to now open up the conference call to questions from management. We encourage callers with questions to queue up with the operator as soon as possible so that there will be minimal lag time between each caller. Dagmar, could you please instruct the callers how queue with their questions?
Operator: Thank you. The floor is now open for questions. (Operator Instructions). And our first question comes from Les Sulewski from Sidoti & Company. Please state your question.
Les Sulewski - Sidoti & Company: Good afternoon. Thank you for taking my questions.
Tom Brown: Hi Less, how are you doing?
Les Sulewski - Sidoti & Company: Great, thank you. So Tom, perhaps maybe you can help me out with this. What was the percentage from international, it was at 79%; did I hear that correct?
Tom Brown: 74.
Les Sulewski - Sidoti & Company: 74%, okay. And can you perhaps just kind of guide us through what do you see in each market. I know you mentioned that you’re pursuing military, mass notification, public safety and et cetera. Can you kind of just walk us through what significantly are you seeing through each market and what kind of activity are you seeing there?
Tom Brown: On the international space Les, we're seeing primarily public safety as it’s called which is they are form of law enforcement and so military sales. Those are the major activities that we're seeing. We're also -- we still have some mass notification that we're building out in Asia and we anticipate getting some additional orders in the second half for mass notification in the Asia market. We've been successful in Asia; we're trying to break our way into a couple of opportunities that are in the Middle East. But normally, the way our track record has been, we normally see good domestic business in the second half, particularly in the fourth quarter when year-end money is available. So, it's not uncommon in the past, it's not a common for us to see a slow start with domestic business, but we never had this strong international business in the past. The international business has been really -- has picked up and has been really good. So, the customer base is really public safety and military.
Les Sulewski - Sidoti & Company: Thank you, guys. That's helpful. And in the past maybe just shifting a domestic and can you provide us a bit of an update on the RFI with the U.S. Army? And then if anything if that request does go through into the budget, is it possible that we can expect some changes to the original plan or just kind of guide us through that if you could?
Tom Brown: Okay. In terms of the budget process, we've been going through this for the past several years. There is President has submitted his budget to Congress. There is a line item in the budget for acoustic hailing devices, (inaudible) for acoustic hailing devices. And there has been in the past. However, in the past we haven't made it through the conference, the budget conference between the house and the senate and we're at that stage, again we're the conference hasn't started the Defense Corporation bill is not finalized, it should be finalized sometime in July. We are working very hard to try to see if we can keep that line item in the budget and we've done that in the past and we haven't been successful, but there is still some very strong demand at the field level. So, we're hopeful that we can bring that demand into Washington and get some results and we will know in July when we made it into the budget and we'll be very happy to announce that hopefully at the next earnings call.
Les Sulewski - Sidoti & Company: Yes, that will be great. And perhaps one more kind of high level question I'll get into more of the modeling side with your growing cash base, what are some of the intentions for that use, is our acquisitions kind of in the picture or continuation of the share buyback or combination of both, what is your take on that, if you could?
Tom Brown: Yes on a short-term basis, we're doing the share buyback. And we have made some purchases there. We have been looking at a couple of acquisition opportunities, small acquisition opportunities and honestly we have been found one that we’re really interested in right now, but we have recently looked at two opportunities. And I think we’re also looking at our short-term basis of trying to get a little better investment return out of the cash that we do have in addition to continuing on with the share buyback and in addition to continuing to look at, look and see if there are good companies that we could blend into this organization.
Les Sulewski - Sidoti & Company: Thank you for that. And then Kathy you mentioned you’re expecting a third strong quarter, is something that we could expect similar to this as the second quarter was in terms of revenue, is the way to look at it?
Kathy McDermott: Yes. I mean we announced back in January we had a $4 million order and that had shipped this quarter so that’s certainly a good start to the quarter this early on. But we do have a pretty good backlog of orders in the pipeline so the third quarter looks like it should be at least as strong as second quarter if not quite a bit stronger.
Les Sulewski - Sidoti & Company: Great, thank you. And for your SG&A run rates $1.6 million second quarter there were some increases as you mentioned and is that a typical run rate moving forward?
Kathy McDermott: So we had added some business development personnel at the end of last year. So we’re seeing some of the increase from that. And there was a bonus accrual related to performance thus far this year. But I would say that’s probably a pretty good run rate going forward. Commissions are one of the areas that could fluctuate quite a bit. First half commissions were fairly low. In other quarters they’ve been very high. So that could fluctuate a bit on our quarter-to-quarter basis based and specially with some of our international sales working through, sometimes they go through resellers and it’s built into the margin, sometimes their direct sales and then we pay SG&A line down below. So that’s kind of hard to forecast or model out because that’s kind of dependent upon the individual orders. But I would say from a base run rate that’s probably a pretty good number.
Les Sulewski - Sidoti & Company: Thanks. And then one more from me now and then I will jump back in the queue. Just one quick one, was there any currency translation that affected sales this quarter, since you had a significant impact from international sales?
Tom Brown: We only deal in dollars Les.
Les Sulewski - Sidoti & Company: Okay, all right. So that’s helpful. All right, thank you.
Kathy McDermott: Thanks.
Operator: Okay. Our next question comes from Josh Nichols with B. Riley. Please take your question.
Josh Nichols - B. Riley: Hi, thanks. I was looking over and it looks like there has been a good amount on military sales have been coming up this quarter or last quarter especially internationally. And I was kind of trying to look at it from big picture looking at some of the macro stuff, what do you think for the largest growth opportunity, are you leading more towards mass notification the military revenue can definitely be pretty lumpy and then your (inaudible) and things like budget constraints in the U.S.? And then really quickly just in mass notification market, it is pretty big, it’s probably got about $2 billion to $3 billion. But I was wondering how you stack up competing with some more established competitors maybe like [Siemens] and things like that who have been doing this for a while as far as which are edged?
Tom Brown: Okay. Well, first question on a short term basis, the military business even on a longer term basis, military business is still a sweet spot what we are trying to work towards. Once you get an RFP, if you can win that RFP, you get into as long as you can provide a very good product, it becomes a recurring revenue, we can see that with the U.S. Navy. When we won an RFP about seven years ago and we just competed and won second RFP from the navy last year. So that can be a nice continuing piece of revenue in the military sales and military sales throughout the world are pretty significant. So we have a pretty good business, not just in the U.S., but internationally. So that short-term that is the key focus. But mid-term and long-term, I agree with you. The Mass Notification space offers us bigger opportunities. The problem is we’re in the LRAD acoustic hailing device space; we are the number one company. We represent about 90% to 95% of the worldwide market. When it comes to Mass Notification, we're an upside. And we're dealing with some very established companies such as Siemens, such as Federal Signal, Whelen. There are a number of large established companies. But what we bring to the table is a better device. We have a much better communication tool because most of the systems that are out there, these old line companies, they developed sirens. And our device, while we can put out a loud deterrent or warning tone, we have also put out very clear communications over long distances. So we have taken the LRAD technology and we developed it into a Mass Notification system. Now we have to basically build the market. So it's going to be difficult, but we're going to be very aggressive because we feel we bring a much better product to the table.
Kathy McDermott: Clear voice communication is the key.
Josh Nichols - B. Riley: Yes. Thank you very much.
Tom Brown: Thank you, Josh.
Operator: Our next question comes from Lloyd Quartin with Unique Investments. Please state your questions.
Unidentified Analyst: Hi there, Tom, Kathy, Brian.
Kathy McDermott: Hi.
Unidentified Analyst: Congratulations, obviously a great quarter. Just want to mention to you by the way, I love what you're doing with your website, I know it's continuously being updated, but it has a great impact. So whoever is doing it, they’re doing a great job. I want to ask you guys, the National Guard and FEMA, can you give us an update; I see such a great opportunity with our mobile device. Can you give me some update as to any kind of progress we're making with them?
Tom Brown: Yes, we're working very closely with the National Guard. I had meeting with the California National Guard last week and we were in New York making a demonstration with the New York National Guard also last week. And we've been talking to all the different guard. Each state has its own guard representation, so we've been talking to the individual states. We're making very good progress with the Army National Guard, but Lloyd also with the Air National Guard. So we're trying to work demonstrations and we will have our trailer. The first trailer that we built, we sold before it was completed, but we have another one on the construction that we're looking to bring out to a number of the National Guard bases for demonstration. We also are talking to the FEMA people, FEMA purchased three trailers in the past and we’re looking to expand into that area, because we think it's a perfect solution for some of the things that they have to manage. I'm going to Kentucky at the end of the month to meet with the (inaudible) General of Kentucky. So we are strongly working in the guard and we're hoping to point some year-end money from the National Guard as we feel our product is a perfect fit and the feedback we're getting from the guard is very positive, because they have purchased product in the past and they like it. So we're working that very strongly.
Unidentified Analyst: And I think that scenario with (inaudible) will be successful. China; how are we doing in China?
Tom Brown: Well, China is still developing. We have -- in the second half; we have about a $1.2 million in new orders that just came in from China that we’ll be shipping before the end of September. We're working on some new opportunities in China. So, China is developing very nicely, we're very pleased with it.
Unidentified Analyst: Sounds good, I mean I see there is a potential grade market for growth. Have you guys considered a dividend at all?
Tom Brown: Honestly Lloyd, no, we haven't. We haven't considered a dividend, we're doing the buyback and we're looking to continue that Board gave us a direction to go ahead and purchase X number of dollars worth of stock and we're executing against that. But as of this day we really haven't discussed doing a dividend.
Unidentified Analyst: And then in terms of the (inaudible) there is not a of stock out there whether it's $0.10 per share would be couple of million dollars that you seem to be generating cash on a regular basis something that we’ll have to see we consider as a long-term shareholder?
Tom Brown: Yes, some day we can take -- but, I'd like to see a little stronger balance sheet before we talk about dividend.
Unidentified Analyst: Okay. One more question; the percentages of customers that we're doing business with this last quarter or last half what percentage would you say is new customers versus customers who have the product that are expanding even buying more or different?
Tom Brown: I would say for the most part, Kathy can also chime in on this, but for the most part I’d say that it’s recurring customers. We have some new customers that we’re bringing on but they’re very, very small in terms of the revenue dollars, because it takes a while and resell a small quantity then we develop a market. But I’d say that for the most part we have pretty -- as Kathy indicated pretty diverse group of customers, but there is a lot of repeat buyers in that list.
Kathy McDermott: Yes. And then to that extent several of our resellers and reps might be similar, but they’re selling into new markets also. So, where we might work through or wrap in the Middle East team he is entering he or she is entering into different markets from now. So it’s still broadening the base by working through many of the same resellers. There are a number of new customers that will also probably this year within last several quarters versus a prior year.
Unidentified Analyst: Okay. Thank you. Thank you guys for what you do.
Brian Harvey: Thanks Lloyd.
Kathy McDermott: Thanks Lloyd.
Operator: Our next question comes from Dan Scoville with [Addison]. Please state your question.
Unidentified Analyst: Yes, thank you. Couple of questions; one, you mentioned on the OpEx line some business development, is that new opportunity or just enhancing some existing stock?
Tom Brown: That’s new personnel that we’ve added over the past year.
Unidentified Analyst: Is that a market expansion or just enhancing current pursuits?
Tom Brown: Well, it actually was enhancing the existing team bringing in some stronger players then also opening up some new markets, we are covering more of the globe now is the team that we have in place.
Brian Harvey: And we would also again to pursue the mass notification market as well, so it was the combination of deeper penetration into existing markets, as well as entering some new market.
Unidentified Analyst: Okay. Thank you, guys. That’s helpful. One other question here, I apologize if this is somewhat naïve. Is there an opportunity to I guess die with down markets into something that’s cost effective enough to sort of be more of a discretionary spend rather than a capital spend and maybe boost some volume and can get rid of their of lumpiness or is that just cannibalizing your own opportunity, I just wonder what’s your thoughts on that issue are?
Tom Brown: We develop the LRAD 100X to grab to that discretionary spend is quite below the capital limits of most municipalities and law enforcement groups. But yes, we don’t – right now we really don’t want to cannibalize the market, we want to, we have a good structure financially and we just need to continue to grow that top-line, you look at our margins and you look at our fixed cost the lowest we can grow that top-line. We are going to deliver some very nice results.
Unidentified Analyst: Okay, good. Thank you.
Operator: (Inaudible). Please state your questions.
Unidentified Analyst: Yes, congratulations on a great quarter and again on what you guys are doing is really looking good?
Tom Brown: Thanks [Steve].
Unidentified Analyst: You are welcome. Hey I got a question. First of all on the buyback Tom, can you say how far along you are in terms of where with the authorization was and where you are right now?
Tom Brown: I think I’m going to let Kathy give you those numbers.
Unidentified Analyst: Thank you.
Kathy McDermott: So, in the first two quarters we just really began it at the beginning of the fiscal year into the first quarter fiscal year, we bought back [133,000] shares for about $0.25 million, so that’s where we're after the first two quarters. We are buying more now, the price has been lower. So we have been buying quite a bit in the third quarter.
Unidentified Analyst: Okay. So we are long way away from the authorization. I appreciate that. The other question I had Tom, you mentioned in your remarks, opening remarks that you are looking “to generate more income on the cash that you have on hand.” Could you be a little bit more specific as to what you are looking out there?
Tom Brown: We just went through a board meeting Steve and we got an investment policy approved, so we are looking at different investment opportunities to generate a little bit more income than we’ve been generating off of the cash that’s been sitting in our bank account.
Unidentified Analyst: I think that’s a good strategy. Obviously a few years ago, remember a couple of companies got caught up in some really, what they thought were safe cash type investments and ended up getting in a lot of trouble. And I know you are very conservative, so that’s not a concern of mind. Are you looking at like just hiring in institution like a PIMCO or somebody like that to by ultra short term bonds or something, is that what you are looking at?
Tom Brown: Yes. That’s exactly what we are looking at.
Unidentified Analyst: All right. Okay.
Kathy McDermott: Yes.
Unidentified Analyst: Excellent. You’ve also mentioned acquisitions and that again kind of, I bristle a little bit of that but I do respect your conservatism and your judgment and I mean that. But it still makes me wonder, we are such a small company and we don’t really have a lot of money, I mean it’s a lot of money in relation to our debt, but it’s not a lot of money in relationship to a lot of money. I mean kinds of acquisitions would make sense? I mean, I know you can't mention any names but tell me a little bit about what you're thinking and what is it that’s going to complement what you're right now that would be attractive?
Tom Brown: Yes. Steve, to be honest with you, we get approached by a number of different acquisitions and I look at them very carefully. If it were something that we could just add to the existing bag of the sales team, I would consider it. But usually -- I agree with you, usually these acquisitions come with too much baggage and it's -- they’re ugly. So we're not turning anything down; we’ll look at everything; I’m very open to seeing if we could expand our business. But you're right I’m a conservative guy and I don't want to take on anybody else’s baggage and problems.
Unidentified Analyst: And I appreciate -- all of us shareholders appreciate that. I kind of think you guys are doing a great job building what you’re building. And I don't know it's just my own humble opinion, I think acquisitions are long way away for a company like LRAD when the stock price is a lot higher. Obviously we can find something that's accretive, that's a different story and it directly relates to what you are already doing. But I mean those are few and far between otherwise they wouldn't be approaching you. Go ahead.
Tom Brown: Let me just say something. My acquisition is this mass notification business.
Unidentified Analyst: Excellent, absolutely and that's organic, I mean that's organic. So, great.
Tom Brown: Yes.
Unidentified Analyst: I do have one other point and honestly, this is more of a kind of a question to you and anybody else in the room that cares to comment on it. But it’s also kind of a comment to all of the analysts that are on the call right now. One of the things that is hurting LRAD Corporation is lack of analyst coverage, lack of Wall Street visibility, lack of eyeballs looking at LRAD’s ticker symbol on a daily basis and reading about the good things that are going on. I have been hearing for year after year after year that, hey it's just a matter of time, we have to build our business, we have to improve the quality, we have to get more even quarters. I think you may have done all of that stuff. And these are the excuses that these “analysts” have been giving as to their reluctance to initiate coverage and again get the story out. I mean there is a lot of crap right now on Wall Street and they've got a lot of coverage. Now, I recognize the whole investment banking for an occasion that's going on with these firms. But at the end of day, you analysts out there write a report. And if it's a good report and it's a good company and you’re clients make company, they’re going to come back to you and they are going to want more reports on other companies. So, that's my message to the analysts on this call. But I'd like to hear maybe you Brian, what progress are we making? You guys go to analyst conferences and yet nothing happens, because you won't give them investment banking business. How can we get the story out there?
Brian Harvey: You hit on it, I believe Steve. And that is something we're doing, we're participating in a lot more conferences than we have in the past. And on a daily basis, I'm reaching out to analysts and keeping dialogs open, so that when the time is right, that they will be interested in us. And I think we're making progress as you've said you've heard that story in the past. Well, I'm still relatively new here. But I feel we are making progress. And we had analysts out to visit our facility, we've done tours with these analysts out in our San Diego offices; we've met with them all over the country. And so we are getting more and more eyeballs on the story. And I think as we show that there is -- that we’re not as lumpy as we had been in the past that there is the growth trajectory and there is a large addressable market in the mass notification, it will become easier for these -- for Wall Street to get on board. But I agree and we are taking strides to do that. As Tom indicated in his notes, we are presenting at the B. Riley conference in a week and half; we’re going to be presenting at the Marcum conference at the end of May in New York and we’re looking at additional conferences. So, we are actively out there trying to get people interested and keeping people in front of the story every day.
Unidentified Analyst: And I appreciate that. And let me ask you a question, so let’s just take B. Riley for example. You go to their conference; they say hey, this is a great idea. Hey, we want to do -- are they going to say we want to do some investment banking business, so you don’t need to do before we have the coverage or are they going to be more of a type of analysts that writes reports on behalf of their clients?
Brian Harvey: Well I believe the analysts that we’re speaking to at B. Riley in particular are sector analysts, so they cover companies in the sector and they cover companies in the San Diego area. So I think it’s a natural fit and we’ll see. Obviously they’ve got to believe the investment theses and that we’re going to be successful and we’re hoping to prove that to them in that particular case.
Unidentified Analyst: Fair enough, fair enough. All right, thank you guys. Great job.
Tom Brown: Thanks Steve.
Operator: And there appear to be no more questions in the queue.
Brian Harvey: Okay. We can wait and if anyone does come, we’ll take him. But we do appreciate your listening and participating in LRAD’s conference call. There will be a replay of the webcast available in about 2 hours at the link that was issued in the press release. So, if you need to follow up, feel free to reach to us, or listen to webcast link. And I guess that’s it, Dagmar.
Operator: Okay. This does conclude today’s webcast. We thank you for your participation. You may disconnect your lines at this time. And have a good day.